Operator: Good morning. My name is James, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Royal Caribbean Cruises Ltd.'s First Quarter 2018 Earnings Call. All lines have been placed on mute to prevent any background noise and after the speakers remarks there will be a question-and-answer session. Thank you. I'd now like to introduce Chief Financial Officer, Jason Liberty. Mr. Liberty, the floor is yours.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thank you, operator. Good morning, and thank you for joining us today for our first quarter earnings call. Joining me here in Miami are Richard Fain, our Chairman and Chief Executive Officer; Adam Goldstein, our President and Chief Operating Officer, who will soon become our Vice Chairman; Michael Bayley, President and CEO of Royal Caribbean International; and Carola Mengolini, our Vice President of Investor Relations. During this call, we will be referring to a few slides, which have been posted on our investor website, www.rclinvestor.com. Before we get started, I'd like to refer you to our notice about forward-looking statements, which is on our first slide. During this call, we will be making comments that are forward-looking. These statements do not guarantee future performance, and do involve risks and uncertainties. Examples are described in our SEC filings and other disclosures. Please note that we do not undertake to update the information in our filings as circumstances change. Also, we will be discussing certain non-GAAP financial measures, which are adjusted as defined, and a reconciliation of all non-GAAP historical items can be found on our website. Unless we state otherwise, all metrics are on a constant currency basis. Richard will begin by providing a strategic overview of the business. I will follow with a recap of our first quarter results, provide an update on the booking environment, and then provide an update on our full-year and second-quarter guidance for 2018. We will then open up the call for your questions. Richard?
Richard D. Fain - Royal Caribbean Cruises Ltd.: Thanks, Jason, and good morning, everybody. It's been a great first quarter, and it looks like it's going to be another great year, so I'm really happy to be able to talk a little bit more about it. I do admit that last year was such an exceptional year that there may have been some slight trepidation about our being able to beat it. Fortunately today, we're really encouraged by the outlook, and we're looking forward to beating even last year by 16% or so. In fact, we're not only feeling very encouraged about 2018, but also about the potential for the longer-term future. Now, last year was somewhat unusual, as the demand from our key markets was pervasively strong. There simply weren't any, or virtually any area of weakness. This year is actually following a similar pattern, but there are a few more puts and takes. For example, sailings out of Puerto Rico are a little weaker this year due to the hurricane perception and to logistic issues in San Juan. Our original guidance for the year anticipated most of this. But regardless, last year was so strong that it's hard to be too disappointed about where we are. On the other hand, demand for European cruises continues to accelerate, even above last year's enviable strengths. These types of aberrations are very typical and they show the true benefits of having a diversified, global sourcing platform and going to over 500 destinations. Overall, our revenues for the year are looking to be even better than we expected. Onboard revenues have been particularly strong, while ticket revenue is generally in line with what we thought. I'd like to point out that our operating costs are also up a bit over our original expectations. As we've said many times, we manage the company to maximize the bottom line, not the middle line. We have identified some specific steps, which we think will increase our future revenue, and we're incurring a small amount of additional costs to realize these expected benefits. Personally, I view that as a highly worthwhile trade-off. Now, while we're pleased that this year continues to be so solid, we really focus on the implications of that for the longer term. We focus heavily on the supply/demand balance for our industry, and that balance continues to be robust. The popularity of cruising continues to grow, and we take a lot of comfort from what we're seeing on the demand side of that equation. I'm well aware there's a lot of focus on the supply side of the equation and that's appropriate. But the demand side is just as important, and as I've discussed in the past, something which we are fortunate to be in a position to impact in a nice way. That's why we're so encouraged by the growing power of our individual brands, as well as the success we've had with our new ships, with our price integrity program, with our non-refundable deposit structure and with so many other initiatives across the enterprise. People continue to gravitate towards vacations that give them experiences and memories and our cruises do precisely that. In addition, our exceptional Internet capabilities, which continue to lead the industry, allow our guests to share these memories with others on social media. I attribute some of the recent healthy growth in demand to our success in the social media environment. Our social media teams really are doing an amazing job. At the same time, we have recently been revealing more and more about our new products. You're all familiar with Symphony of the Seas that just started operating in Europe; Azamara Pursuit, which is coming out later this summer, also in Europe; the new Mein Schiff [1], which starts operating in May; and Celebrity Edge, which will start towards the end of the year. The public reaction to Symphony of the Seas was surprising, even to us. Even though she's the fourth in the amazing Oasis class series of ships, she has so many new amenities and attractions that our guests and the media were simply blown away. Rarely has a sister ship received such press and rarely has it been so deserving of it. I'm sitting here across from Michael Bayley, and I can tell you that his face is still beaming from the inaugurals. At the same time, Lisa Lutoff[-Perlo] and I recently visited Celebrity Edge, which is under construction in France. We've been overwhelmed by the level of interest that this new ship has generated. It really is staggering to see how much talk there is about such a ship, so many months before she delivers. I'm very happy to report that she justifies all the attention, and I think people will be very impressed when they see her later this year. Now, moving onto another topic that addresses the needs of our customers. This year, we're also amping up the short Caribbean getaway. In past calls, you've heard me talk about changes in consumer preferences and the importance of being able to respond and to adapt quickly. One good example of these changes is that we're seeing more and more people opting for shorter, but more frequent vacations. We are responding to that call by modernizing the Mariner of the Seas, which is one of our Voyager class ships. And we're raising our game in the short cruise market with this upgraded vessel. At the same time, we also announced a major upgrade to our private destination in the Bahamas at CocoCay that we are calling, appropriately I might add, Perfect Day. Perfect Day and that destination will be another great addition to our Caribbean offering. It's really thrilling to see the work take shape, and I'm certain that this destination will get tongues wagging just as much as our new hardware has done. So as 2018 develops in such a very constructive way, we're highly focused on 2019, which is also shaping up to be a very exciting year indeed based on the strength of our brands, the enhancements to our destination offerings, exciting technological innovations and the continued focus of our people. With that, I'll turn the microphone back to Jason. Jason?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thank you, Richard. I will begin by talking about our results for the first quarter of 2018. These results are summarized on slide 2. For the quarter, we generated adjusted net income of $1.09 per share, which is approximately $0.14 higher than our guidance and approximately 10% higher than same time last year. Net revenue yields were up 4.9% for the quarter, which is 165 basis points higher than the midpoint of our guidance. Ticket revenue was better than expected. The main driver of the positive variance in yield was continued strength in onboard revenue, which was up 6.3% for the quarter. This result is notable considering that it follows an 8.9% improvement from the first quarter of 2017. As I've mentioned over the past couple of quarters, guest spend from onboard activities has continued to shift towards areas that involve experiences over buying things, and this quarter was no different. Beverage packages, specialty restaurants and Internet were the main revenue streams driving the quarterly beat. Net cruise costs excluding fuel per APCD were up 11.2% for the quarter, which was slightly above the guidance driven mainly by timing. Depreciation, favorability and outperformance from TUI Cruises helped contribute to the earnings beat in the first quarter. On the shareholder return front, we repurchased $275 million in shares during the quarter, completing our share repurchase program from last year, and paid $128 million in dividends. Now, I'd like to update you on what we are seeing in the demand environment. On our last earnings call we shared that Wave was off to a very good start and that we were booked ahead in both rate and volume. Those trends continued for the remainder of the Wave period fueled by strong demand for each of our brands and core itineraries. The 2017 Wave period was the strongest in our history and 2018 has been even better. As a result, we remain booked ahead from same time last year in both rate and volume. The booking window has continued to extend and Q2 to Q4 continued to book in line with our January guidance. Four of our brands are welcoming new ships in the fleet this year and Symphony of the Seas, Celebrity Edge, Azamara Pursuit and TUI Cruises' Mein Schiff 1 are each outperforming the rest of the fleet in their respective markets. Demand for Symphony has been strong since we opened the European season for sale, and increased further upon her delivery a few weeks ago. Prices for Symphony have not only exceeded our lofty expectations, they've also been even better than we saw from Harmony last year. Edge will join Celebrity's fleet at the end of the year and has been enjoying very strong demand at very high prices. Outside of our smaller Azamara and Galapagos ships, Edge is our best booked ship for 2019 from both a load factor and price perspective. We just took ownership of Azamara Pursuit and following a major modernization, she will begin sailing in Europe in August. But despite opening for sale a year later than her sister ships, Pursuit's European sailings are already booked at comparable load factors. Our very successful German joint venture TUI Cruises will take delivery of new Mein Schiff 1 next month. Demand for TUI Cruises' brand is exceptionally strong and continues to accelerate as they further expand their destination offering. Now, I'd like to provide you an update on what we're seeing in each of our core products. The Caribbean accounts for just over half of our full-year capacity. In 2018, the Caribbean will feature more Cuba sailings than last year, and an inaugural winter season for both Symphony and Edge. The Caribbean was very strong in 2017, which has provided for a difficult year-over-year comparable. However, demand has been strong, and bookings have been trending ahead of same time last year. European itineraries account for 17% of our capacity and have been receiving consistently strong demand. As a result, the product is booked ahead of last year at record levels. Trends for North America have remained particularly strong, which not only results in higher ticket prices, but also increased onboard spend. Asia-Pacific itineraries account for 17% of our 2018 capacity, and had a particularly strong first quarter with nice yield growth in Australia, China and Southeast Asia. These itineraries are in a good book position for the year, with China trending well ahead supported by our efforts to expand the distribution in the Chinese market. Overall, the booking environment for Q2 through Q4 remains very strong and in line with our previous expectations. If you turn to slide 3, you will see our updated guidance for the full year 2018. We expect net revenue yield growth of 2% to 3.75%, an increase versus January guidance due to the outperformance in the first quarter. Our expectations for Q2 through Q4 remain essentially unchanged. From a cost perspective, we are anticipating net cruise costs, excluding fuel, to be up approximately 2.5%. The updated cost guidance reflects our decision to further invest in demand-generating activities and consider some ships related to our joint ventures that were previously expected to benefit operating costs and will now be reflected below the operating profit line. Since our last call, the dollar has strengthened versus our basket of currencies. The combination of a stronger U.S. dollar and higher bunker prices has negatively impacted our earnings per share guidance by approximately $0.10. We expect fuel expense of $678 million for the year and we are 50% hedged. Based on the current business outlook I previously described, along with current fuel prices, interest and currency exchange rates, our adjusted earnings per share are expected to be in the range of $8.70 to $8.90 per share, $0.15 higher than our previous guidance. Before I move onto the second quarter, I'd like to reiterate the guidance we gave on the last call regarding our yield cadence for the year. Our yield improvement is expected to be higher in the first and last quarter, particularly due to drydock timing, an earlier Easter, tougher summer comparables and the timing of new hardware. Now, we can turn to our guidance for the second quarter, which is on slide 4. We expect net revenue yields to be up 1.5% to 2% for the second quarter. Strong net yield growth of 11.5% during Q2 2017, plus the timing of Easter, made for a tougher comparable year-over-year. Net cruise costs, excluding fuel, are expected to be up approximately 5%. Costs for the quarter are impacted by more drydock days and our decision to increase our investments in demand-generating activities. Based on current fuel prices, interest and currency exchange rates, and the outlook expressed above, our adjusted earnings per share for the quarter are expected to be in the range of $1.85 to $1.90 per share. With that, I'll ask our operator to open up the (00:16:50)
Operator: And your first question comes from the line of Felicia Hendrix from Barclays. Go ahead please.
Felicia Hendrix - Barclays Capital, Inc.: Hey, good morning. Hello.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Good morning.
Felicia Hendrix - Barclays Capital, Inc.: Hi. So a few questions. I wanted to kind of unpack the comment that you made both in your press release and in your prepared remarks just saying that your second quarter through fourth quarter is basically in line with the previous expectation. Now, we know that the booking curve is out far, you did say that 2018 is better than 2019. So I'm just wondering, is that something – like a performance that you would have expected? Or is it kind of hard to expect upside when you have the booking curve this far out?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yes. Well, the booking curve, I think, is always a factor in this. But I think when you look at your commentary first in the first quarter, some of the things that we were implementing early on in the year actually took faster than we thought. And so we were better in the first quarter on the onboard revenue side, but we had expected those onboard revenue activities to kind of pick up Q2 through Q4. And so the ticket environment, which we had commented on, for the first quarter, was basically as we expected, it was a little bit better and those trends have really continued. Of course, we expected the year to be strong based off the booking activities early on in the year, and that has been pretty consistent for the balance of the year to date. And so I think our commentary is not something more to read into, except that the year, on the ticket side, is pretty much behaving how we had expected it to.
Felicia Hendrix - Barclays Capital, Inc.: Okay. And can you just talk about – you said that the demand in bookings were better in the Caribbean. Can you talk about the pricing environment? And if you can, just kind of call through like what you're seeing in the Western Caribbean versus the Eastern. That would be helpful.
Michael W. Bayley - Royal Caribbean International: Hi, Felicia, it's Michael. Yeah, demand has been strong and we're booking ahead of same time last year in the Caribbean, so we're quite pleased with the performance. When you look at the differential between the Southern, Eastern and Western, as we'd commented earlier, Puerto Rico has been slightly sluggish. But then the Western Caribbean and other itineraries have been performing particularly well, including the Cuban itineraries, which we've almost doubled capacity into Cuba this year. So the balance of things are quite good. And then I think it's also worth pointing out that when you look at the Caribbean overall, I think it's about 51% of our total capacity in the Caribbean in 2018. The numbers by quarter are quite different. So Q1, over 70% of our total capacity was in the Caribbean, and we had a pretty good quarter as we've just announced. As you move into Q2, it drops down to the mid-40s, and then Q3 just below 40% and Q4 around 57%. So the environment is fairly good. It's meeting our expectations. And in fact, the last couple of weeks, we've seen quite a lot of strength in our bookings for Caribbean.
Felicia Hendrix - Barclays Capital, Inc.: That's super helpful. And just final, Jason, on housekeeping, we're just getting a lot of questions about some of the costs, accounting changes and moving stuff with the JV. So maybe you could be more specific about that?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yes. I mean, in terms of the geography, it's really more – first off, our JV has continued to do exceptionally well and there are just – there are some small favorability that we had estimated would benefit us on the cost line, but we're actually going to be accounting for it below the line.
Felicia Hendrix - Barclays Capital, Inc.: Okay. And is there – like you said, is that your choice or is that kind of more of an auditor kind of advice or is...
Jason T. Liberty - Royal Caribbean Cruises Ltd.: No. Well, it's a combination of choice and also that's the appropriate way to account for it.
Felicia Hendrix - Barclays Capital, Inc.: Okay, all right, great. Thank you.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: You got it. Thanks Felicia.
Operator: Your next question comes from the line of Robin Farley from UBS. Go ahead please. Your line is open.
Robin M. Farley - UBS Securities LLC: Great, thanks. Two things I wanted to ask about. One is the higher expense from the revenue-generating activity or demand-generating activities. Can you give us a little color about what that might be, just so we can think about the timing because sort of typically you would think about, if you're just spending on like increased TV ads, you'd expect that to maybe impact booking in the same quarter. And so just wondering if the demand-generating spend is focused on something that will impact bookings today or is it more something like a few quarters out? And I do have one other question.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yeah. Sure. So on the demand-generating, there is lots of different things that we're choosing to invest in to improve demand and attract high-value customers, which are certainly on the rise. Now, keep in mind as we are heavily booked for the year, and so a lot of this will help influence 2019 and beyond. But again, it's – I wouldn't go into anything specific yet, except to say that we think that there is a opportunity to continue to accelerate the attraction of high-value customers, and that's what we're looking to invest the money. But again, we're talking about – this is a small amount of money.
Robin M. Farley - UBS Securities LLC: And so it sounds like basically you're saying, you're not spending that. You're not having to spend more to hit the yields that you had guided. This spend is really for sort of next year's yield, is that...
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yes. This year, there's – I mean, obviously, there's – you can influence it on the margins, but it's much more about 2019 and beyond.
Robin M. Farley - UBS Securities LLC: That's great. Thanks. And then just wanted to ask about the onboard activity, which you mentioned is driving a lot of the upside here. Is that actually people spending more when they get onboard, deciding to spend more? Or is this all part of the fact that you're pre-selling it and selling it as part of the initial ticket package and pre-selling all this before they actually board? I'm just trying to get a sense of whether it's sort of that you're – it's maybe a package and you're sort of accounting for some of it as those things? Or if it's people getting onboard and getting out their wallets then?
Michael W. Bayley - Royal Caribbean International: Hi Robin, it's Michael. It's both. I mean, obviously, we've been really pleased with our pre-cruise sales, and we've seen a significant uplift year-over-year that's been increasing for the past couple of years, and it's a big driver of onboard spend. I mean we kind of figure that if we – for every dollar that we earn pre-cruise we'll see somewhere between a 30% and a 50% uptick in the onboard spend. So it's a really positive environment. And then of course over the years we've invested quite heavily in new venues and new attractions onboard of our ships and many of those are revenue-generating. And we're beginning to see a lot of those now yielding superior revenue because of the kind of services that they provide. So it's really in the combination. And then I'd say the third element is, as we'd mentioned, people really are seeking experiences. So our Internet has been really selling very well. And then of course things like shore excursions, et cetera, we've seen a significant uplift there.
Richard D. Fain - Royal Caribbean Cruises Ltd.: Robin, it's Richard here. Good morning. I'll just add, you're focusing, as I understand, clearly on sort of the marginal change. We're looking at all these things together and more as a total revenue at the margin. But you've also put your finger on something as Michael says, this, the pre-booking is a real advantage. It increases the spend. It also increases their satisfaction. So it's across the board, it's a terrific thing to do. But there's not only the cost associated with the specifics, but there's also the cost of the technology. And we think that is paying off over time this year and next year. But there's no question it's a cost. We think it's a cost that quickly pays for itself.
Robin M. Farley - UBS Securities LLC: Okay. Great. No, that's very helpful. And I just think it's helpful to think about how the expense is not really – it's not that you're needing to spend more to maintain your yield guidance. So that's helpful to think about that as being kind of for future. Okay. Thanks.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Great. Thanks, Robin.
Operator: Your next question comes from the line of David Beckel from Bernstein. Go ahead, please. Your line is open.
David James Beckel - Sanford C. Bernstein & Co. LLC: Yeah, thanks for the question. Just wanted to drill into the Caribbean environment a little bit. I think it was two calls ago and maybe the last call you mentioned that there was a period of softness after last year's hurricanes. I'm just curious, have you made up that period of softness as of today? And also wanted to confirm, I think Michael said that you are ahead in all parts of the Caribbean or just the Caribbean as a whole? And then I have a follow-up.
Michael W. Bayley - Royal Caribbean International: Yeah, hi, David, it's Michael. Yeah, we're ahead overall in the Caribbean. I mean we've got obviously a lot of product in the Caribbean, in different parts of the Caribbean. So as usual, the story is mixed across different products. We had commented earlier that the product out of Puerto Rico was softer. Of course, it's only one ship that we have full year operating out of Puerto Rico in the whole portfolio of ships. Western Caribbean, after the hurricanes in September, Western Caribbean performed extremely well, while Eastern Caribbean was sluggish. And then we did see a period of quite a few weeks where it took time for the Eastern Caribbean to start coming back and the same with the Southern Caribbean. It's also worth pointing out that during that whole period, I think we'd mentioned it previously, if you look at those three storms that blew through in September, it was very unique and it really impacted negatively about five or six ports out a total of around 60 ports. So there's plenty of product and itineraries that are being opened for sale and have done very, very well even during this period.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: And, David, the other point that I wanted to add, because I think it's important just to add on to Michael's comment about us being in a strong year-over-year book position in the Caribbean, I would also consider that we have a significant increase this year with – in the short product area with Mariner coming in. And that's a much closer in booking product. So for us to be in a position of strength in combination with the closer – in booked type of product like the short Caribbean, really kind of, I think, is a testament to the strength of our position in the Caribbean today.
David James Beckel - Sanford C. Bernstein & Co. LLC: Great. That's really helpful. And as a follow-up, I wanted to ask about close-in pricing. This is the first quarter in a while that I can remember where that wasn't called out as a surprise to the upside. Is it because you're getting better at forecasting future sort of close-in demand and any upside there? Or is the curve now sort of lapping itself in terms of the extension and the amount that you can push close-in pricing going forward?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Well, I think as it relates to close-in pricing, obviously, we very much focus in on behavior of the past. And so how we have – those behaviors in the quarters, especially over the past four to six quarters where we saw strength in close-in, that's something that we would be accounting for in how we look at our book position and as well as our guidance.
Richard D. Fain - Royal Caribbean Cruises Ltd.: Yeah. David, I would also say, I kind of share your view. Last year, we were really constantly surprised at how strong the year turned out. And so I think we kept saying during the year, it was an exceptional year. And we think that this has been a very strong year, but I think we are not seeing the extraordinary pleasant surprises that we had last year.
David James Beckel - Sanford C. Bernstein & Co. LLC: Got it. Thank you.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thank you.
Operator: Your next question comes from the line of Steve Wieczynski from Stifel. Go ahead, please. Your line is open.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Hey, guys. Good morning. So I want to ask – I know everybody is kind of harping on the Caribbean. I want to ask just a little bit differently, maybe a little bit more straightforward for Jason or Michael. But I guess a simple question is if you removed Symphony, Mariner, Edge from your portfolio, would like-for-like price in the Caribbean still be up year-over-year for all four quarters?
Michael W. Bayley - Royal Caribbean International: That question is exceptionally difficult to answer because, of course, as one ship comes in, we redeploy other ships. So there's a lot of movement of deployment to accommodate ships that we put into specific products during specific times. So I'm not sure that's an easy answerable question. I can tell you that when you look at our deployment in the Caribbean in 2018, we're obviously excited about the fact that Symphony of the Seas is coming in, in the fourth quarter. And I think as we'd previously mentioned, Symphony is knocking it out of the park in terms of booking. I mean, it was doing exceptionally well before we introduced it. And literally, one little statistic, the week after we introduced Symphony of the Seas, our bookings beat track by 50%. That's the week after we introduced the ship. So it's really performing well. It's coming into the Caribbean, and it's coming into our new terminal, Terminal A. And then of course, Celebrity Edge as well. To Jason's comments about Mariner – Mariner is, we're very excited about Mariner as a product coming into the shorts market, and that's very much focused on new-to-cruise and millennial, and that really is the on-ramp for that market. That ship is literally like having an Oasis class ship in the short product market because its capacity is just over 3,000, 3,200, 3,400 every three or four days, and the sweet spot for Mariner is just coming up. So we're about three months away from launching the ship into the shorts market, and already sales are good for that product.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay. Got you. Thanks for that color. And then the second question would be around buybacks. You bought back $275 million first quarter. You exhausted your repo program. And I guess the question is now, you continue to execute – continue to produce pretty good results and solid results. And obviously, looking to your stock today, it's not really working. So how should we think about you guys, right now not having a repo program in place and kind of the capital deployment plan you guys see?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yes. Well, thanks for calling – qualifying our performance as pretty well. Yeah, but...
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: I'll change that to great.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Okay. Thank you. Thank you, Steve. So on the capital deployment basis, I think that you're going to continue – so first off, it's always something that is at the discretion of our board, whether or not we continue on with a share repurchase program. But we have generally believed that a mix of shareholder returns should include the performance of the business, i.e., to the share price, dividend growth and also repurchasing shares opportunistically. There is nothing I would say that would say that we would change that behavior at this point in time.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thanks, I appreciate it.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: You got it.
Operator: Your next question comes from the line of James Hardiman from Wedbush. Go ahead please. Your line is open.
James Hardiman - Wedbush Securities, Inc.: Hey, good morning. Thanks for taking my call here.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Good morning.
James Hardiman - Wedbush Securities, Inc.: I think we've touched around the edges on a lot of this, but I was hoping we could maybe address the two major bear cases head on. I guess, first, and obviously, this isn't the first time you've heard any of this, but the notion that Caribbean capacity accelerates particularly in the third quarter. Obviously, we've got guidance for 2Q, but I think the bigger concern this year is 3Q. So I guess to the extent you feel comfortable, any data points or anecdotes about Caribbean pricing once capacity there really accelerates. You gave us sort of the phasing of guidance, 1Q and 4Q the best, 2Q and 3Q not as strong. I don't know if 3Q is expected to be worse than 2Q, but any data points on that front would be helpful. And then as we think about 2019, obviously, the bear case there is that global capacity accelerates. Pretty difficult to disprove that in April of 2018 that that's going to be a big negative on yields. But I guess as we think about that supply-demand, we know that supply is going to accelerate, is there any reason to think that demand will accelerate next year to match it? And if not, should we assume that yield next year – I mean, obviously, I don't expect guidance from you guys, but on an industry-wide basis, this notion that yields are going to be worse next year than this year, is that a valid assumption or do you have any thoughts on that?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yeah. So first just on the question on the Caribbean side, obviously, we've commented about being in a strong book position and also with bookings accelerating for the Caribbean. I won't get into specifically by product what our book position is, but what I will tell you for the third quarter is that we are in a strong book position on both a rate and volume basis. And so we – yes, we understand where the supply is. I think people should consider our dialogue around the booking window having extended for a period of time, us being in a very strong position of strength at the turn of the year. And so we've obviously been anticipating the supply that has been coming in to the different regions and products of the world. But I would say that we are in a very good position for Q3. On the capacity side, I think that there – obviously, our commentary about the booking environment is what we're seeing, which would include sailings in the 2019 period of time though it's still very early, but the acceleration and the strength that we're talking about also reflects what we're seeing in 2019. I think when we consider demand, I think we've been pretty consistent about this, there are some very strong demographic shifts, there are very strong consumer trends of people buying experiences versus stuff. Richard commented in his script about the perception of cruise on the rise, and we think levers like social media and so forth are really helping break through stereotypes on cruise. And we have seen a real change in our new-to-cruise volumes. That's also suggesting that a lot of these past detractors are becoming fans of cruise. And also, we continue to focus on penetrating the different markets around the world. We're expanding our footprint each and every year and penetration in all those different markets. So we think there's a lot of reasons why you investors and us are very excited about the future demand of cruise. And of course, we need to make sure that we're managing the booking environment and the consideration of the supply that's coming on in different quarters and in different years.
James Hardiman - Wedbush Securities, Inc.: That's really helpful. And then lastly for me, I was hoping you could touch on Cuba. When Cuba first opened up there was a lot of discussion about capacity constraints and infrastructure limitations. And yet, more and more sailing seems to be going to Cuba. I guess, how have you been able to do that? And as we look forward, obviously, there's been a leadership change in Cuba. Is there the opportunity for sailings to Cuba to continue to go up as we move forward?
Adam M. Goldstein - Royal Caribbean Cruises Ltd.: Hi. It's Adam. Yes, we've been commenting over time about the fact that the Cuban market, first of all, has been a good market for us to enter. The customer satisfaction about Havana has been very, very high. But the reality is that there is still just one functioning pier that ships can go to on either side of the pier in Havana, there's going to have to be some type of considerable infrastructure improvement that takes place over the next several years. That will probably take time. I think what we've been seeing lately is that the Cuban government has gotten a little bit more efficient at maximizing the use of the pier on both sides, and our company has definitely been a beneficiary of that. We've been able to increase the number of sailings on a year-over-year basis, even though their capacity hasn't increased. They've just been better at getting our ships into the berth. So for what it is, it's been terrific. But in the overall sense of our portfolio, it's still fairly small. And we haven't seen any change whatsoever in their attitude towards us or their dealings with us as it relates to their change in government to this point.
James Hardiman - Wedbush Securities, Inc.: Got it. Thank you.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thanks, James.
Operator: Your next question comes from the line of Greg Badishkanian from Citigroup. Go ahead please, your line is open.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc.: Great. Thank you. First, on China. Jason, did you mention that yields were positive in the first quarter? And then would you expect the trend to improve further throughout the year as compares get easier and you just have lessening capacity in the industry?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: I did comment that China was quite strong in the first quarter. We didn't comment specifically in terms of what our yield guidance would be for China but we do expect yields to be up quite nicely in the Asia Pac area. And of course China is a contributor of that.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc.: Okay. And in terms of the Med, could you differentiate between what you're seeing in the Eastern Med, the Western Med? And then I know you mentioned that Europe overall was strong and North American-sourced business, you called that out. I'm assuming European-sourced was – passenger demand was strong as well. How would you characterize the European-sourced passenger demand as well?
Michael W. Bayley - Royal Caribbean International: Hi, Greg. Yeah, European demand for European product has been strong. And of course, North American demand for European products has been I would say even stronger. So it's so far it's a great season and it's looking like it's going to be good for the year in Europe. With regards to Western, Eastern Med, we are seeing – I think it was a couple of years ago with all of the geopolitical issues, there was a lot of capacity shift from the Eastern to Western and Northern. And over the past several months, we've seen an increase in demand and a shift with a lot of the Northern European tour operators in terms of taking people to Eastern Med destinations. So demand is coming back. I think we see more stability in the region and I think that's translating into increased interest from our customers. We have started to slightly increase our capacity and itineraries into the Eastern Med. We've got some this year and we've got more next year and the demand looks good. And I think if we're lucky and the geopolitical situation stays stable I think the Eastern Med may be returning.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc.: Thank you.
Operator: Your next question comes from the line of Harry Curtis from Nomura Instinet. Go ahead please. Your line is open.
Harry C. Curtis - Nomura Instinet: Hi. Good morning. Could you give us a sense of how much marketing spend is targeted still for this year or to what degree are you able to look ahead and focus on marketing in 2019 now?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yeah. Sure. Sure, Harry. So I commented on this a little bit earlier, but really – and this year is very well booked. Certainly, we can be influencing this year on the margins by increasing investments in demand-generating activities. But really what we're focused on is improving demand generation especially for high-value guests further out. So it's more related to 2019 and beyond than it is significantly influencing 2018.
Richard D. Fain - Royal Caribbean Cruises Ltd.: Yeah. Harry, it's Richard, just to add to that, coming back at I think a little bit you're covering some of the same territory that Robin covered. We think this is proving to be a very positive year. And it on its own is performing at least as well as we expected it. And overall, we've raised our guidance for the year. Our marketing, our technology investments, our other demand-generating investments are really generally fairly long-term kinds of things. And so I'll disabuse the notion that in order to keep the yields up, we've had to invest heavily in marketing. I think our focus continues to be long term. And again, I also want to emphasize, we're not just talking marketing with some of these things. The technology, we think helps us and will help us in the future, et cetera. So as Jason pointed out, this is a long-term kind of process. There are, of course – there's tactical marketing and strategic marketing, and we try and keep that balanced. But this is not a response to anything other than what we think is in the best long-term interests of the company. And as we said in our prepared remarks, we're actually feeling pretty good about 2019 and the future. So I think we're a little bit surprised at so much of the questions on that topic.
Harry C. Curtis - Nomura Instinet: And I apologize for covering ground already covered, I've been jumping around between conference calls. So at the risk of doing it again, let me know if it's already...
Richard D. Fain - Royal Caribbean Cruises Ltd.: Harry, you don't have to apologize. The purpose here is to communicate as much as we can, and we welcome all opportunities to that.
Harry C. Curtis - Nomura Instinet: Okay. Thank you very much. I did have one other quick question is relating to you guys calling out the strength in your onboard spend and the renovation-driven results there. To what degree has your fleet been renovated to the extent that you intended to, as it pertains to improving onboard spend? How much more is yet to go?
Michael W. Bayley - Royal Caribbean International: Well, Harry, we recently announced significant upgrades and modernization programs both for Celebrity with Celebrity Revolution and Royal Caribbean International with Royal Amplified. For Royal Caribbean, we're literally taking all of our Voyager, Freedom class, and in fact, Oasis and Allure and putting them through significant upgrades, modernization, et cetera, which includes elements of adding features, attractions, venues that will further stimulate onboard spend. So if – to answer the question in terms of a percentage, I don't think I could do that. I think our focus is always the balance between generating improved Net Promoter Scores and guest satisfaction, but combining that with improving revenue by taking every opportunity that we think is going to do that for us.
Richard D. Fain - Royal Caribbean Cruises Ltd.: And, Harry, your question actually gives me the opportunity to amplify a point that we've made before. The industry has proven its ability to respond to consumer needs. So some of the things that Michael is talking about that we're doing at Royal, that we're doing at Celebrity, that we're doing at Azamara are – and our other joint ventures are really responses to the way peoples' tastes have changed, their desires have changed, and it's paying off for us. So I think this actually gives me a chance to reemphasize this point. We're evolving. We're evolving as an industry, and we're definitely evolving as brands within Royal Caribbean. And that evolution, that upgrading of our product that we're offering, both in terms of the standard things you think about, the food, the entertainment, et cetera, but also the other kinds of memory-producing activities, experiential activities. We really think that's the kind of thing that has been driving and we think will continue to drive increased demand. And that's why we tend to focus on the demand side of the supply-demand balance.
Harry C. Curtis - Nomura Instinet: That does it for me. Thank you.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thanks, Harry.
Operator: Your next question comes from the line of Tim Conder from Wells Fargo. Go ahead, please. Your line is open.
Timothy Andrew Conder - Wells Fargo Securities LLC: Thank you. Good morning, gentlemen. I'll maybe look at a couple things here, or maybe, hopefully, a little different angle. But back in November at the Analyst Day, you talked about – Michael, you mentioned, I think especially with Symphony of the Seas, that you had virtually focused the marketing of that ship almost solely via social media. So I guess, can you give us an update in general how your marketing is, percentage-wise, shifting to social media, whether that be with Edge, whether that be with Pursuit, whether that be with Symphony? And then also, your millennials, as a percent of your total guests now versus where it was a year ago, three years ago, any update there?
Michael W. Bayley - Royal Caribbean International: Tim, if I gave you that information, my entire marketing team would be really unhappy with me. I would say that we have made a journey over the past couple of years from traditional to digital marketing, and it's been fairly significant and we continue that journey. We think that there is better targeting and it's a more efficient channel. And certainly, with our social media presence, we believe that we've maneuvered ourselves into a really strong position in our space. And in fact, we just recently conducted an independent survey of where we are positioned in terms of the social media universe. And we came out of it exceptionally well in terms of how people view Royal Caribbean through that lens and how they're engaging with Royal Caribbean. We're also seeing that with the response from onboard Internet and how people are using the accelerated Internet to utilize social media to actually promote our brands, which has been really quite effective. So it's a good channel. It's also a channel that is, obviously, preferred by the millennial and obviously new-to-cruise. So it's a great channel to activate that group. As it relates to new-to-cruise millennial, very much the strategy that we've started to reveal in terms of the modernization of Mariner of the Seas and putting that ship into the 3- and 4-day product, combining it with our significant investment into a Perfect Day CocoCay and the kind of experiences that we're creating with Perfect Day, when you combine Mariner, modernized with all of the new features that we're adding to that ship and how that ship will operate in that market, along with the Perfect Day CocoCay, we really think that's going to be an accelerated on-ramp for new-to-cruise and millennial. And of course, marketing programs are pushing that heavily through social media. So I can't really give you numbers. All I can tell you is that we're aggressively moving in that direction and we are seeing very positive results from those actions.
Timothy Andrew Conder - Wells Fargo Securities LLC: Could we surmise that some of this increased spending or a majority of it is directed in that vein?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: I would say that the focus of that spending, again, is more longer term, as Richard noted. Certainly, some of those elements would be to further enhance our connectivity and marketing to segments like the millennials.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. And then two last ones here. Related to 2019, do you – or should we think about you're purposely – just as maybe as a little bit of a hedge and given the capacity coming, that you, the industry are putting on extending the booking curve a little bit to get that – build that base a little bit faster. And then on the Caribbean, in particular, how do you feel you're performing there given the product you have there this year relative to the industry?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Well, I can't comment on the industry as it relates to what others are doing relating to their booking curve. We are, and have been, proactively managing demand and using our sophisticated yield management tools and the consideration of the supply that's coming forward to continue to put ourselves in a posture for success. I do think that the product that, especially our Royal Caribbean International brand, is offering in the Caribbean because, obviously, it's a very large percentage of their capacity, is certainly leading in its offering and that's why we continue to see very strong demand. If you just look at the demand for Harmony and Symphony, and as Michael commented, on Mariner, just kind of core new products into the Caribbean, it's been quite exceptional.
Timothy Andrew Conder - Wells Fargo Securities LLC: Thank you, gentlemen. Congratulations.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thanks, Tim.
Operator: Your next question comes from the line of Jared Shojaian from Wolfe Research. Go ahead, please. Your line is open.
Jared Shojaian - Wolfe Research LLC: Hey, good morning, everyone. Thanks for taking my questions. Michael, I just want to follow up on something you said earlier in the call. I think I heard you say that in the last couple weeks, you've seen quite a bit of strength in Caribbean bookings. Can you just elaborate on that? Is that an acceleration from what you've been seeing? And is that Puerto Rican and Eastern Caribbean itinerary, is it specifically for Edge or Symphony or is it something else that's driving that?
Michael W. Bayley - Royal Caribbean International: Yeah. Obviously, we manage against the track and we're constantly calibrating that track in terms of expectation of volume and rate and revenue, et cetera, by product and by brand. And obviously, we're constantly engaged with that performance track and a lot of our investment marketing decisions are based upon that performance. And this of course is interesting when you see things like the 1,000-point drop in the stock market at some point. I think it was a few months ago. You can see the curve drop a little bit as people concern themselves, obviously, at what's going on with the stock market and it soon returns. But over the last couple of weeks, yeah, we've seen strength above our expectations for the past two weeks on all of our Caribbean products and we've also seen that in the Southern and Eastern Caribbean.
Jared Shojaian - Wolfe Research LLC: That's interesting. It's very helpful. Thank you. And then I just want to revisit the close-in discounting and pricing integrity topic. I know that this has been an initiative. But as this winds down, I'm wondering if this could potentially explain why the close-in yields didn't surprise to the upside this quarter. So where do you stand with your price integrity initiative now? Is there still some discounting that's going on? Are there still certain markets where this is happening? We'd love to just hear an update.
Richard D. Fain - Royal Caribbean Cruises Ltd.: This wasn't an initiative that had a short timeframe. It was a program and we're continuing on it. We think it hurt us in the short term and helped us overall. It's hard to measure these things, but I personally think it's continuing to help us. In fact, I think I called it out in my comments. And we are continuing it. We're continuing not to make exceptions. We continue to discount. I mean, I want to be clear, we've always discounted and that's a part of a normal process. What the program says is we won't add any new discounts in the last 30 days, and we're sticking to that. We think it's been successful. We think it will continue to be. And it's not that the initiative has run its course, it's that it's in place and it will continue to be in place.
Jared Shojaian - Wolfe Research LLC: Okay. Thank you. And then just one last quick one for me. How much of a tailwind to yields are you expecting when Celebrity Edge comes online?
Richard D. Fain - Royal Caribbean Cruises Ltd.: I'm sorry, I didn't hear the question on the yield side.
Jared Shojaian - Wolfe Research LLC: Yeah. The question is, how much of a tailwind to yields does Celebrity Edge add when it comes online? I guess maybe to ask it differently, what kind of a premium does Celebrity get to your system average and then what kind of a premium is Edge going to get to the Celebrity average?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yeah. Well, Celebrity is definitely higher than our average in terms of its yield performance. And Edge is – again, it's a brand new ship in a fleet that has not had a new ship in many, many years, so demand is exceptionally strong. So it is certainly higher than the Celebrity average by quite a bit. I would just keep in mind that really the benefits from Edge are really going to help us in 2019, as there's only a few sailings that will take place in 2018, mainly in the month of December.
Jared Shojaian - Wolfe Research LLC: Okay, thank you.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: You got it. Operator, we have time for one more question.
Operator: And your last question comes from the line of Vince Ciepiel from Cleveland Research. Go ahead, please. Your line is open.
Vince Ciepiel - Cleveland Research Co. LLC: Great. Thanks for fitting me in here at the end. I just had a quick question on the guidance. So it sounds like fuel FX was a $0.10 headwind, but there is a $0.15 raise. So is it fair to say things are about $0.25 better on a core basis versus where you thought about the business 90 days ago? And then within that, it seems like other income and the JVs are performing better. Is that a significant part of the raise?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yes. So thanks, Vince, and thank you for pointing that out. That's exactly right. If FX and fuel were what they were at the time of our January guidance, we wouldn't have raised by just $0.15. We would have risen by $0.25. Certainly, the JVs, both TUI and Pullmantur are doing quite well and they are definitely a part of the contribution. And effectively, those things are basically – we're kind of offsetting the increase in our costs that we updated here at the time of this call. So, yes, they're basically offsetting that. And so that $0.25 raise is really relating to the Q1 beat. And then of course, the FX and fuel lowered that down by $0.10. So it would have been $0.25, but it's $0.15.
Vince Ciepiel - Cleveland Research Co. LLC: Great. Thanks.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Thanks.
Vince Ciepiel - Cleveland Research Co. LLC: And then I don't know if it's been mentioned yet, but the SkySea joint venture, could you just talk a little bit about your thinking there. I think it was announced in March that that ends at the end of the year. What went into that decision?
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Yeah. I think that there was an opportunity. Obviously, we are a minority shareholder in that business and there was an opportunity to sell that ship to actually TUI AG. And it was just decided that we were going to move on from that venture. It actually will help us quite a bit in the forward years as TUI Cruises will hold on to Mein Schiff 2 for the coming years, which will further improve our profitability outlook for 2019 on.
Vince Ciepiel - Cleveland Research Co. LLC: Great.
Jason T. Liberty - Royal Caribbean Cruises Ltd.: Okay. You got it. Thank you for your assistance, James, with the call today. And we thank you all for your participation and interest in the company. Carola will be available for any follow-ups that you all might have, and we really wish you all a great day and appreciate the interest. Take care.
Operator: This concludes today's conference. You may now disconnect.